Operator: Good day. My name is Doug and I'll be your conference facilitator. I'd like to welcome everyone to Aeva Technologies' Fourth Quarter and Full Year 2022 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. Following the opening remarks, we will conduct a question-and-answer session. As a reminder, today's conference call is being recorded and simultaneously webcast. I'd now like to turn the call over to Andrew Fung, Director of Investor Relations. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone to Aeva's fourth quarter and full year 2022 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO, and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our fourth quarter and full year 2022 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-K. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Dardashti: Thank you, Andrew, and good afternoon, everyone. 2022 was a significant year at Aeva, that was marked by a number of milestones that moved us forward on the path towards production. I would like to summarize our key achievements on Slide five. First, we introduced Aeries II, the world's first commercially available 4D LiDAR offering high performance and a smaller form factor. Over the course of 2022, we shipped to more than 40 customers. Importantly, this has enabled us to progress on a growing number of vehicle programs to the advanced or RFQ stage with leading OEMs. Second, our commercial progress was possible because of our ability to bring up our initial manufacturing line; launching a new product is not trivial, and I am very proud of the work the Aeva team accomplished to increase the pace of production by approximately three times by yearend, and enable us to meet more of the growing demand for our unique products. Third, we solidified our accelerator expansion into the established and growing industrial automation markets, with the addition of our collaboration with SICK AG. We also completed core development of our LiDAR-on-Chip perception platform for industrial automation, which we are using for our existing customers, including Nikon, as well as to grow our opportunities in industrial automation and fourth, all of this was accomplished while maintaining a sharp focus on spend. OpEx came in below the outlook we provided for 2022 by more than 10% without limiting our ability to execute. We ended the year with $324 million in cash and marketable securities, which positions us well to continue investing strategically to bring Aeva 4D LiDAR to market. Turning now to Slide seven, I would like to provide more color on recent business developments. The Aeva team has been laser-focused on advancing our growing commercial momentum and our efforts are beginning to show meaningful progress. In particular, I'm excited to share that Aeva has been selected by top 10 global OEM for their vehicle development program. We are starting to deploy Aeva 4D LiDAR as the long range LiDAR on this OEM on-road development fleet, where valuable re-enrol data with a new dimension of velocity will be used to define the specifications for production vehicles with a targeted 2025 start of production. We have been engaged for some time with this OEM and now they can start to incorporate Aeva's unique velocity data and the perception software to achieve their high standards for safety. Because FMCW can instantly measure velocity for every pixel and is immune to interference from other LiDARs or the sun, it can provide unique advantages over time of flight or 3D LiDAR in detection and classification of critical objects on the road. We believe this helps OEMs with a better margin of safety and to achieve the performance needed for broad deployment of advanced ADAS and autonomous capabilities. We hope to share more details on this collaboration over the course of this year. Moving to Slide eight, I would like to discuss our progress in industrial automation. In Q4, we completed the core development of our LiDAR-on-Chip perception platform for industrial automation, which utilizes the same chip architecture we are using for automotive, but with different software to pursue the large and growing precision distance measurement market, which is a subset of the large industrial automation sector. Precision distance measurement is used across many industries for manufacturing, inspection and quality control. While the market is already multi-billion dollars in size, broader adoption has unlimited by current solutions that are typically challenged in meeting the right balance of performance, cost and size all in one solution, often resulting in multiple product architecture skews for each application to achieve; for example, short, mid or long range distance measurements. Through adaptable software, Aeva's LiDAR-on-Chip can achieve the needed level of precision across multiple applications from short to longer ranges, all on the same scalable, silicone photonics architecture at affordable costs in a compact form factor. We think this performance flexibility can bring immense value to the end user and allows us to pursue multiple opportunities with the same platform. We're using this platform starting with our collaboration with Nikon, leveraging Aeva's ability to achieve micron-level precision for industrial metrology applications. Additionally, our plan this year is to leverage our LiDAR-on-Chip perception platform to respond to a growing pool from the market and distance measurements for large scale opportunities. Let's turn to Slide nine. After successfully bringing up our initial manufacturing line last year, I am pleased to share that we are expanding to a new manufacturing line in 2023 to support our growing commercial momentum. This line simplifies the overall manufacturing process and is where we complete our LiDAR system assembly, calibration and test. We expect this new added capacity to sufficiently support our product deployment needs to existing customers and new opportunities until mass production. Earlier this year, we began manufacturing on this new line and expect process optimizations to continue over the next few months. Along with the higher capacity, our new line will allow us to also implement increasing levels of automation as we progress towards production. Turning now to Slide 11, I would like to share more about our key goals for this year. Our priority is to convert more of our commercial progress to program wins and focus on the following objectives in 2023. First, we target winning two additional programs towards production. We're progressing on a growing number of vehicle programs to the advanced or RFQ stage with leading OEMs. In addition, this year we are looking to further our engagements within major industrial sensing opportunities where we can leverage our LiDAR-on-Chip perception platform. We do not expect to win all of our engagements, but do believe we are in a position to secure additional programs towards production this year. Second, we plan to complete key product development in automotive and industrial. In automotive, this includes completing the final form factor that will be used for series production. For industrial automation, we will continue to iterate on our platform this year to prepare for market release and expand additional opportunities for deployment at scale. Third, complete the expansion of our new manufacturing line, which we expect to provide sufficient capacity to support our existing customers until production and secure additional production programs. And fourth, we are focused on maintaining strong financial discipline as we work to bring Aeva 40 LiDAR to market. As Saurabh will discuss in more detail next, we target OpEx in 2023 to be similar to 2022. We have a strong balance sheet and will continue to strategically invest to meet the increasing demand for our unique 40 LiDAR technology. With that, let me turn the call over to Saurabh, who will discuss the financials.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. Let's turn to Slide 13 to discuss our full year 2022 financial results and 2023 financial outlook. Revenue for full year 2022 was $4.2 million, which included revenue of $8.1 million, that was partially offset by an adjustment of $3.9 million due to an existing customer's roadmap revision towards less customization. This aligns with our standard product line capabilities. We look forward to continuing our collaboration with this customer on their program. Non-GAAP operating loss for the full year 2022 was $127.7 million, which primarily consisted of R&D expenses. In addition, we continue to efficiently manage operating expenses and it came in below our annual outlook for 2022 by more than 10%. Our gross cash use, which is operating cash flow less capital expenditure was $117.4 million for the full year 2022. This enabled us to end the year with a strong cash, cash equivalent and marketable securities position of $323.8 million. Weighted average shares outstanding for the fourth quarter was $218.4 million. Turning now to a financial outlook for 2023; as Soroush said, this year we are focused on increasing our wins and supporting our customers on product validation and development of their end product. We are targeting revenue in 2023 to grow by at least 50% year-over-year, driven by higher product deliveries to our key customers. As we are bringing up our new manufacturing line and optimizing processes in the first half of the year, we expect 2023 revenues to be backend loaded. We are targeting non-GAAP operating expenses, which excludes stock-based compensation and other potential non-recurring charges to be similar to 2022. And lastly, Aeva's balance sheet is strong and we continue to have significant capital to execute on our plan to ramp up product shipments, support our existing customers and convert additional programs toward production. I will now turn the call back to Soroush for closing remarks.
Soroush Dardashti: Thank you, Saurabh. In summary, we are really excited about our growing commercial momentum and the opportunities ahead in 2023. Over the past quarter, we have made substantial progress on multiple programs with global OEMs, thanks to the tremendous work by the Aeva team. Similarly, we are actively engaged on growing opportunities to use our LiDAR-on-Chip perception platform for large scale implementation and industrial automation. Our focus in 2023 is on winning these opportunities and continuing to work towards production with our existing partners. We are in a strong position with our unique technology and financial position to do so, and I look forward to sharing our progress over the course of this year. With that, we will now open up the line for questions.
Operator: [Operator instructions] Our first question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much, guys and congratulations on all the progress. With the increased availability of product, and having been able to get samples out, can you talk a little bit about the availability of samples and how it's changing the scope and scale of the customer engagement that you're able to work on at this point?
Soroush Dardashti: Sure, Colin, happy to answer that. This is Soroush. So, obviously as we set the goal last year to release Aeries II, this was a key milestone for us. We did achieve that goal. We really delivered on launching Aeries II and this has been a key factor for us, right? As I mentioned on the call, that launch resulted in us being able to shift over 40-plus customers. We have further expanded with that, our ability to secure new partners in the industrial as well including with the collaboration with SICK AG, of course, in addition to our existing collaboration with Nikon and, we've also made good progress in bring up our initial manufacturing in mind. So all of that has really resulted us to actually now continue our progress towards advancing to the late stage or our few stages with multiple customers, which obviously if we could not deliver Aeries II would've been a problem. So that's been a big win-win for us. I think also generally the feedback customers have been quite positive and we are making now meaningful progress and case in point is the top 10 OEM decision that I mentioned on the call to start implementing our LiDAR on their vehicle fleet, which is a significant milestone for us as well. So hopefully that answers your question.
Colin Rusch: Yes, that's helpful. And then with the manufacturing process, can you talk a little bit about the key areas of maturation that you're working on right now, this year, and then also the CapEx spend that you're planning to put into that line this year as you work towards a larger scale?
Soroush Dardashti: Yeah, so as I mentioned on the call, this year we're expanding our manufacturing to a new line, which really further increase our capacity and the importance here thing is that, our overall LiDAR system manufacturing is being simplified in terms the process. We are increasing automation. We will have with this new line, sufficient capacity to support our customers and new wins until production. So this now -- this new line is really going to be setting us up for the next set of opportunities, engagements and getting to secure those wins, but the activity really is around continuing with process optimizations, which I mentioned on the call, we're going to be doing the next few months and further increasing our automation level to really continue scaling our product deliveries throughout the rest of this year to our -- to those key customers.
Operator: Our next question comes from the line of Antoine Chkaiban with New Street Research. Please proceed with your question.
Antoine Chkaiban: Hi, Andrew, Soroush. Thanks for the update and for taking my question. So yeah, maybe my main question is, recent news flow suggests that multiple LiDAR enabled L3-designs [ph] are getting pushed out by one to two years and can you maybe please give us your latest perspective on the situation what you are hearing in conversation with OEMs and in particular, has anything changed with regards to whether those L3 platforms will adapt LiDAR when they eventually ramp, and what their latest thoughts are on time of flight versus FMCW?
Soroush Dardashti: Yeah, sure, Antoine, happy to answer that. So, I think generally obviously OEM-to-OEM vehicle type to vehicle type and level automation, there is differences and approaches from between across these folks, there is differences in the timings. I think some of the can assume from what we hear in the industry, some of the very, very high level, super high level automation obviously has, timelines wise, is what we are seeing is pushed out. But from those L3 plus and ADAS applications from automation, that's actually where a lot of the focus is and this has been critical for our case in terms of our advancement throughout the opportunities evidenced by the fact that we've been able to actually provide units to our customers and start delivering samples so they can actually validate, but also importantly, that now these OEMs starting to actually make progress towards RFQ stages. So we're now in multiple RFQ programs as a result of our ability to ship last year with Aeries II and there are a number of decisions that are happening. We expect to happen this year and one of course, case in point of this clear evidence is that this top-10 OEM that we talked about, which is an established leader in automotive, as I mentioned on the call with significant scale and we've been working with this OEM for some time now, and this OEM was tested with other three [indiscernible] LiDARs in the prior development stages since our close collaboration is now in the next stage is actually decided to our LiDAR technology, the four LiDAR as the long range LiDAR on the fleet vehicle. So that's, to your point about what the advantages that the folks are seeing; I think that's now starting to take shape and it continues to build on our belief that the industry over time is going to transition to FMCW, but again, we are pretty encouraged by the progress we've made and excited to start off the year with this growing momentum here.
Antoine Chkaiban: Thanks that for the color and maybe just as a quick follow up. So you mentioned that you're progressing well on a growing number of vehicle programs, the advanced RFQ stage with leading OEMs and so maybe if you could just give us like a sense of how things have progressed relative to say 90 days or 180 days ago, so we can better visualize how momentum is picking up. That would be -- that would be amazing.
Soroush Dardashti: Yeah, sure. Look, as I said, as a direct result of our ability to actually ship product to customers and also some of the customers now decisions happening this year, and we are now fortunate to be advancing to those RFQ stages and advances on multiple programs with decisions happening in the next number of months. One, two is we are seeing some of those OEMs after they start actually implement and use our technology to really start realizing how they can leverage the key dimensions such as velocity, the differentiation of our -- of our technology. And this in large part is helping some of those folks to achieve some of the high level standards that they could not achieve before with other solutions, right? So that I think is some of the traction and actually evidence that we're seeing from the customer before we expect to continue working through these program opportunities, RFQs with these customers as well as supporting this top-10 OEM as they work towards production as I mentioned with the targeted SOP of 2025.
Operator: Our next question comes from the line of Joe Moore with Morgan Stanley. Please proceed with your question.
Joseph Moore: Great, thank you. In terms of the new OEM arrangement that you talked about, you talked about it as a development agreement with kind of the intent to go to manufacturing in 2025. Can you be -- what does that development agreement mean? Is it a commitment to volume? Is there, prospects for volume, but you have to meet certain milestones, just how should we think about what a development agreement means in terms of certainty of revenue commitment?
Soroush Dardashti: Yeah, sure, Joe, happy to answer that. So let me give you some context background as we talked about this now a little bit. So first of all, as I mentioned this OEM as an established leader in automotive with significant scale, we've been working with them for some time. They have tested with other 3D time-of-flight LiDAR in the prior stages. And with our close collaboration with this OEM in the next stage, they decided to really implement our technology as the long range LiDAR. So what does this mean? This means that we're expecting that this replaces the 3D time-of-flight LiDAR on the vehicle fleet, that's what our understanding is. And to your question about, okay, what does the development include? What does it pertain? So, there's a few things. One is that we're deploying our LiDAR on the road fleet. So this is, we're providing them with sensors. They're integrating on their vehicle fleet. Importantly, they're starting to actually integrate our velocity data products and our perception software into their stack, which I think is a critical point as we expect with this that the overall stack is going to start to be defined with their -- for the production vehicles with our velocity data, right? So we're working together to define those specs for production. And the SOP target is for 2025. So that is all critical and the reason, I think one of the key reasons for them deciding to implement us on their vehicle fleet, that's setting the path and the key specs for the production program is that they were not really able to achieve the standards of the safety and performance that they're looking for again, to our understanding for deployment and with our technology, they're starting to see what they can do with the addition of the velocity. And as we have talked about the long range detection, which other time-of-flight solutions are challenge. So it's further evidence towards the unique advantages of FMCW technology.
Joseph Moore: Great. It sounds like a great win. When you think about attach rates out in the 2025 timeframe, is this the kind of thing that would be part of sort of an option package that people would buy for the car? Would it be standard in all the vehicles? May maybe not, if you can't talk to the specific one as you just think about 2025 types of production, is it more of like a driver assistance package or is it part of the standard delivery?
Soroush Dardashti: Yeah, so I obviously can't comment on the specific details yet, but, our expectation is that this is for higher level automation product and it's obviously using the LiDAR sensor technology is crucial for the OEM achieving their specific use cases specifically as we talked about on, for example, highway driving, long range sensing. So that's what I can say at this time. And we're really focused on helping this OEM achieve those requirements that they could not really be able to achieve before for their production vehicle program.
Operator: Our next question comes from the line of Tristan Gerra with Robert W. Baird. Please proceed with your question.
Unidentified Analyst: Hi, this is Tyler on for Tristan. Thanks for taking the questions. How has the competitive landscape for FMCW technology changed? Are Intel's Mobileye and other players still working to develop the technology, or have you seen any changes there?
Soroush Dardashti: Yeah, look so obviously, I can't comment for others, but, I think one thing that we see you feel is important is that we're not alone in doing -- bringing this technology to the market. We think we have an advantage in terms of both the technology approach, which we have had significant work in protecting our IP and the patents with I think, to this state still one of the largest portfolio of IP granted patents in this space. And two, also from a product maturity standpoint, as you know, we've been at this for six, near nearly seven years now, which requires significant investment, significant development, and so, which I think has helped us to progress on our opportunities to secure some of these key partners and start preparing for the program -- production programs that are coming up. Obviously there are, as I mentioned, there are other folks that are in the space. I think we take every competition seriously, and I think generally for the space again, as we have talked about before, we do expect that over time there is going to be a transition from time of flight towards FMCW and some of the largest players, like you mentioned, like Mobileye, also starting to implement that strategic cross area [ph] strategy is actually, I think a positive thing for the industry. I think it's a proof point to the advantages of FMCW and we welcome that and I think we think that's important overall for the industry space. I think, we expect that over the next number of years. Others also will come but, we hope to continue extending our lead in the FMCW space with our unique approach to technology and now our focus on bringing up our manufacturing and releasing our first product to market.
Unidentified Analyst: Great. And maybe a quick follow-up to what you just said and to a previous question, can you provide an update on the timing that you expect for that transition to FMCW both for robotaxis and then also personal vehicles?
Soroush Dardashti: Yeah, look as we've talked about, and some, like for example with the top 10 OEM here, first launchers happening around the 2025 timeframe. As you know, in the automotive space, programs have multiple year cycles and this is not something that's going to happen overnight, and I do fully expect that there will be additional wins in time-of-fight domain even this year. But the fact that OEMs are starting to leverage and implement the FMCW approach, realizes potential start to actually implement it in their stack and therefore make those decisions to start replacing FMCW time-of-fight already, I think is a big proof point towards that transition is starting to happen and that's what I think is important. As I said, okay, a few years for that to complete and at the end of the day, also, we don't think this is a -- just only one technology is going to be in the next few years. It's going to take some time for that to happen.
Operator: Our next question comes from the line of Suji Desilva with ROTH Capital Partners. Please proceed with your question.
Suji Desilva: Hi, Soroush. Hi, Saurabh, congrats on the progress here. Soroush, on the top 10 global OEM development, what are some of the milestones to watch for in the timeline between now and calendar '25 and if you can't be specific about the top 10 you just won, maybe just generally after you announce an on-road development, what should we watch for in the next -- in the first year or two, prior to volume ramp?
Soroush Dardashti: Yeah, I think -- thanks for the question, Suji. So, the biggest thing for us is, working together with this OEM to help them integrate the unique technology in their stack, and as they build the rest of the stack around it, we think this is going to be quite a powerful combination because of taking advantage, advantage of those unique data products. For example, when you go from, black and white cameras to color, using that color information, of course going to provide you with some new valuable information, right? So that's what we're doing, which involves specifically deployment of our LiDAR on their fleets, them integrating those data products in their stack and starting to build their actual software stack for their production vehicles as they move along. So that I think is an important piece that we're going to be working with this OEM in the next number of months to achieve that. And generally this from you ask about, generally from, okay, when you go to a fleet, what happens next? Typically, the next stages go through the traditional award process, RFQ and award. And we -- as I mentioned earlier, we are progressing with a number of others into the RFQ stages in the next months and expect some of those decisions to happen this year. So that's, I think a couple of things I would say that you should be looking out for.
Suji Desilva: Okay. And then for a follow up, I think I know the answer to this, but does --is every customer going to have to go through this phase where they're getting access to your velocity data and capability for essentially the first time and they have to kind of weave it in with theirs and meld it together? Or can some just benefit from all the learning you've done in-house in the past few years and just kind of run with that? Or just, is every customer going to have to kind of go through this phase? Yeah.
Soroush Dardashti: Yeah. So short answer is actually, as we implement this for initial customers, the fact that, so one thing also I mentioned earlier is even for this top-10 OEM, they're starting to actually not just use the velocity, but also our perception software, right. And that I think actually is an important value proposition because it actually helps them accelerate their integration. So it's not that this is a super long process. The fact that we have significant experience with our FMCW data, the fact that we have been developing the perception software in conjunction and parallel to our hardware is an important thing, and as we're able to talk in the future, we will do that more about that. But, this specific top 10 customer and others, I think are going to be able to use, actually tap into our perception software to accelerate those integration pieces. What I'm referring to is really the normal process that they have to kind of go through as they build up their vehicle fleets most -- almost all OEMs prior to an actual launch. So that I think is important and we see this as a validation point for us to be able to then provide, take from those learnings and provide the perception software and the results from it to other customers as well.
Operator: Our next question comes from the line of Kevin Garrigan with WestPark Capital. Please proceed with your question.
Kevin Garrigan: Yeah. Hey guys. Thanks for letting me ask the question. Just one quick one for me. So besides Nikon with industrial metrology and SICK with industrial sensing, what are some other applications customers are looking to deploy your LiDAR for, and can you kind of remind us of your strategy in industrial market? I don't think you guys are going after every single application, but what are some areas you're focusing on, if any?
Soroush Dardashti: Yeah, thanks, thanks for your question, Kevin. So look, I think this is an -- this is an important area for us because it's actually one we're seeing additional inbound interest across industrial applications. You're right, industrial generally is a kind of broad term. We're not going after every single piece, but I would divide this into a couple different pieces. One is around industrial sensing where we have for example, the 40 or the 40 scanning application. This is the approach we're taking our collaboration with SICK AG, the company that's one of the leaders, top leaders in the industrial sensing space. There we're providing, sensor solutions starting with kind of our Aeries II products and for applications around safety automation logistics and as such. The other approach -- the other segment, really what we're focused on is around or we call precision distance measurements. These are typically applications where it's not really scanning and the focus really is on measuring precisely either distance of objects or features of things throughout the manufacturing process including manufacturing inspection, metrology and overall other safety topics or interaction between humans and manufacturing automation equipment. And this is what I was mentioning on the call where, with our completion of our LiDAR-on-Chip module or perception platform for industrial sensing, we can now achieve the micron-level precision and this one of our first customers in this space is Nikon, which we have talked about and they're using that for automotive manufacturing, high volume automotive manufacturing applications. But also, we see a pull from the market for this distance measurements across other applications, which we think there is a clear existing business and potential for large scale deployment. And this is -- this could be from anything from few centimeters of distance to hundreds of meters of distance and the key for us is, unlike other solutions. So first of all, pre-defined [ph] LiDAR, what's out there in the market doesn't even typically address those markets because of some of the performance inherent limitations. Other existing solutions are either typically across multiple SKUs with different architectures that are focused on some only doing a piece of, it's a just very short range, some that's medium range and some that's longer range. The advantage that we bring here is really that we can achieve that high level performance, micro level precision and as in a compact silicon products chip platform add volume scale, which, based on the manufacture process that we have also in a way that is, from a cost standpoint is affordable and doing so in a way that one solution is able to tackle multiple of these applications from short to longer range. And we think this is an interesting area from an opportunity standpoint for us. And we are -- we're engaged on multiple opportunities with folks and as we're able to talk more, we will discuss further.
Kevin Garrigan: Okay. Got it. That makes a lot of sense. I appreciate the color. Thanks guys.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks. Soroush Dardashti Thank you for joining the call and we will see you next time.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.